Andrew Cole: Good morning, everybody. Thanks for joining us today on our first half 2018 results report. I'm joined here this morning by Warrick Ranson, our Chief Financial Officer. I'm sure most of you will be familiar with the format for today's report. I'm going to start by taking you through an overview of our half-year performance; then I'm going to ask Warrick to take you through the detail behind our financial accounts, and then our updated capital management strategy. Once Warrick's done, I will talk you through the upcoming activities for the second half of 2018. And as we usually do, there will be an opportunity to ask questions at the end of this call. So please take a moment to note the disclaimers and the compliance statements in the following few pages. So I'd like to start today by sharing some of the refinements that we've made to our corporate strategy, and that's represented by the updated strategy wheel on the right-hand side of the slide that you're looking at now. So at a glance, things look quite similar, and that's because the key elements of our strategy remain intact. It's worked very well for us and our strategic intent continues to be the best approach, an approach that has enabled some very pleasing results over the past 3 years. So we have kept our focus on value creation at the core, which is -- which had some underpinning pillars of customer focus, copper core, capital discipline, and we are going to maintain our focus on our how we work together principles. But we are strengthening our focus on lean and innovative, and our focus on being devolved and agile. So these slight modifications in this wheel further embed what we have been working on now for 3 years, and they will enable us to continue growing value at the rate that we have done so to date. Safety has been removed from this wheel, not because it has dropped in importance, far from it, but because our business has reached a stage of maturity where it's expected that safety is integrated into everything we do. So I'm just going to move now into our company snapshot. Since the first half of this year, we have made quite a bit of progress in our portfolio of projects and exploration opportunities. We've pursued value create -- accretion and expansion across the portfolio by looking at potential -- the potential each problem springs. So consistent with our approach, our vision of becoming a copper core company, we significantly strengthened our portfolio with projects now in the CarajÃ¡s copper-gold province in Brazil, and in the Gurupi gold province in Brazil with the acquisition of Avanco Resources. We've also strengthened our portfolio with the addition of an IOCG copper-gold project in Sweden and a magmatic copper-nickel project in East Musgrave. The successful growth of our organic pipeline has complemented our strong first half financial performance, evidence that our devolved model enables agility and value creation on multiple fronts. We delivered a sound financial result, including a pleasingly 66% increase in underlying NPAT, up to $134 million, and a 33% increase in underlying EBITDA to $290 million. We did this whilst investing around $300 million on growth activities, mainly at Carrapateena, and in the Avanco acquisition and paying over $100 million in tax. Despite this investment, it still leaves us with a healthy cash balance and no debt. We also delivered the strategy advancing our position to global copper with Prominent Hill's continued reliable performance, remaining comfortably within the lowest cost quartile of the global copper producers. Carrapateena remains on track for first concentrate production in Q4 2019. We've made good progress on the PFS at West Musgrave, and we've completed the Avanco transaction, now with a supporting optimization plan in place. In pursuing capital discipline, we have updated our capital management strategy, which Warrick will speak to in more detail shortly, but, in essence, we are prioritizing shareholder returns, while supporting achievement of our growth strategy. For the first half, the board has declared a fully franked interim dividend of $0.08 per share, reflecting our ongoing strong financial performance. This dividend will be paid in September 2018. And finally, I'd like to take this chance to formally welcome the former Avanco shareholders to OZ Minerals and thank all of our shareholders for your ongoing support. So turning now to our half-year performance from a production perspective. We're on track to meet our annual guidance across all Prominent Hill measures. We produced over 54,000 tonnes of copper and nearly 59,000 ounces of gold in the first half, all while keeping half 1 costs in the lowest quartile of global copper producers, with a C1 cost of USD 0.85 per pound. Earlier this year, we completed the closure of the open pit at Prominent Hill as scheduled. As a result, we have started processing the ore from the stockpile, which will see lower operating costs in the second half of this year as compared to the first half, given we don't have the associated open pit mining costs. We completed the third access decline for Prominent Hill, which now allows us to dump underground ore and waste material in the bottom of the open pit and then truck it to surface with larger equipment. This is a key enabler for us to deliver the guided 3.5 million to 4 million tonnes per annum underground mining rate. Our fourth ore haulage decline in the base of the open pit is scheduled for completion in the third quarter of this year. Following a number of safety-oriented programs at both Carra and Prom Hill, we have seen a 14% drop in our TRIFR as compared to the same period last year. Looking now to how we've delivered on growth, starting first with Carrapateena. Underground development is on track with total development now over 7 kilometers, taking us to a depth of about 470 meters below surface. The airstrip is certified and operating and is now being used to ferry people to and from site. Construction activities remain on track to enable commissioning in Q4 2019. Carrapateena continues to track in line with the published project guidance. What I will play here is that we do expect to see an increase in Carrapateena's capital expenditure in the second half of this year as compared to the first half, but we are revising our overall capital spend for 2018 from circa $500 million to $400 million to $430 million. You'll see this reference in the guidance table in the appendices of this deck. The reductions are value driven, largely due to: the deferral of the construction of the Western Access Road into 2020, while we upgrade and use the Southern Access Road in the interim; and the design optimization of the tailings storage facility, which will now also be completed next year. In line with our province approach, we created a new study team earlier this year focused on increasing value from the known mineralization across the Carrapateena province. Their work has included desktop studies and the drilling of nearby mineralized bodies using 3 full-time drill rigs. We have seen some encouraging results on a few fronts, including one drill hole at Khamsin that intercepted approximately 400 meters at 1.55% copper equivalent, which significantly extends the existing high-grade mineralization zone, and I'll talk more about that in a moment. At West Musgrave, we've made solid progress on the PFS, with metallurgical drilling now complete. Our resource drilling program, which is designed to increase confidence in the resource model, is also well underway. Our study looking at renewable supplementary power solutions to the project is also making strides. As mentioned earlier, we have completed the Avanco transaction and are working on an optimization plan for our Brazil assets, which I'll talk to more -- talk completely in a moment. We've also established new exploration partnerships with Woomera Mining in East Musgrave and MPS in Lannavaara in Sweden. So I'll now ask Warrick to take you through costs and financial performance and the capital management plan.
Warrick Ranson: Many thanks, Andrew, and good morning, everyone. I'll move through the next few slides fairly quickly, given we've touched on some of the key drivers during the release of our quarterly production numbers last month. So today, we've reported a strong net profit performance of $128 million, up 59% on the comparative period last year. Our solid first half revenue and ongoing pursuit of operational efficiencies has resulted in a 33% increase in our underlying EBITDA to $290 million and contributed to the maintenance of a significant cash balance, as Andrew indicated. This has provided substantial coverage on a -- of a number of major outflows this half associated with the Avanco acquisition, our investment into Carrapateena and the payment of our 2017 tax liability. Total contained copper sales were just under 53,000 tonnes for the half with gold and concentrate at just over 61,000 ounces. Production was consistent with our mine plan. Pleasingly, our operating -- our cost base continues to remain relatively resilient to the rising cost pressures impacting the industry. And as Andrew has mentioned, the board has been able to announce a fully franked interim dividend for the 2018 year of $0.08 per share. And just to reiterate that these operating results don't include Avanco's performance given the timing of OZ Minerals' control point, however, the balance sheet does include the consolidated entity position. On Slide 11, we've covered some of the major variations in our comparative underlying net profit. Whilst not material, we have treated the costs associated with the Avanco acquisition as non-underlying given it remains outside of our normal operating course of business. Our current power contract came into effect in July last year, and with power costs around 10% to 15% of our total current cost base, that contributed around half the variance in our production costs. As previously noted, we currently have an RFP in the market for our new supply contract from the beginning of 2019, and all indications point to an improved unit price going forward, supporting our strategy of adopting a shorter-term contract this time last year. Whilst the portion of higher cost to underground ore into our mill feed continues to increase, it does, of course, also come at a higher grade profile. I would also note that around 1/3 of our mining costs, or over 1/2 of our mill feed, is now locked in through the completion of our open pit mining campaign and resulting stockpiles. Growth expenditure in the form of exploration and studies increased period-on-period. Year-to-date, expenditure on the West Musgrave PFS was $6 million, and we have contributed -- we have continued to expense this cost given the current stage of the project. We also incurred additional drilling costs this half in relation to our work on developing the wider Carrapateena province, with resource activity at both Khamsin and the Fremantle Doctor deposits. Net depreciation remained relatively unchanged. Even though we have completed our surface mining, the allocation of the depreciation component from inventory as we draw down the stockpiles will continue to be reflected here. We've provided an explanation of how we recognize these inventory costs in our income statement with a couple of extra slides at the end of this presentation that will hopefully assist with the understanding of these cost allocations. I won't dwell on Slide 12, but suffice to say that our ongoing strong production and marketing activity has ensured that we've been able to fully capitalize on the positive pricing environment experienced in the first half whilst maintaining our cost base. The more recent pressure on both copper and gold pricing will likely see the potential for a repeat of some of these pricing gains soften in the second half. Similarly, I've already touched on a number of the contributors to our net cash position already. Our closing balance included circa $39 million from the Avanco acquisition and, as previously noted, this year, we transitioned to monthly tax installments, which will remove the large one-off payment in relation to our 2017 income from our periodic cash flow going forward. Outlays in relation to Carrapateena have now ramped up, and we'll see additional outlays in this area during the second half, in line with our revised guidance. On Slide 14, we've covered the comparative first half balance sheets, and I'll touch -- I'll just touch on a couple of items here. Firstly, these results are inclusive of the Avanco balance sheet, as I said, after accounting for the remaining noncontrolling interest that we had at 30th of -- at the 30th of June. Under the accounting standards, we are actually required to account for the Brazilian assets and liabilities at fair value, so it's not quite as simple as adding the 2 independent balance sheets together. Without wanting to go into the -- into all the detail on this call, I think the principal items to note are obviously, the related increase in property, plant and equipment, but also that we've accounted for an increase in our deferred tax liability provision, given the fair value assessment of the mineral rights acquired through the acquisition. Pleasingly, we saw a reduction in our working capital levels for the first full quarter of our drawdown of the open cut stockpiles, following completion of open pit mining activities at the end of March. Our trade creditor profile increased in line with the increased activity levels at Carrapateena. In summary, we continue to maintain a strong balance sheet, fully supportive of our growth pipeline and the maintenance of a sustainable dividend stream. As previously indicated to the market, we've been undertaking a review of our capital management strategy and capital allocation framework. This has been a holistic review and considered a number of factors, including our focus on delivering total shareholder returns, our approach to funding the various projects in our growth pipeline and ensuring we maintain a disciplined approach to our allocation of capital. By its nature, our strategy will continue to remain dynamic in order to fully respond to broader market forces. And whilst we will continue to assess potential projects on their respective merits, our framework maintains a conservative financial risk profile whilst ensuring capacity for further growth in our business, whether that be organic or otherwise. Our balance sheet strength remains a key foundation for enabling this further business growth. We intend to continue to fund both the current capital requirements for Prominent Hill and the existing Carrapateena project from operating cash flow. We see opportunities for bespoke funding approaches in other areas together with operating cash flow and are comfortable taking on the level of debt when it makes sense to do so within our stated risk profile. We intend to maintain sufficient headroom in our credit facilities to ensure flexibility and optionality. And going forward, our strategy supports the return of surplus cash to shareholders, if not otherwise committed, to identified value-accretive opportunities. As Andrew has mentioned, as part of this capital management review, the board has approved a new dividend policy, intended to recognize the importance of shareholder returns at the same time as allocating capital to grow. The new policy is designed to prioritize returns to shareholders by paying a sustainable ordinary dividend from pre-growth cash flows, having regard to near-term identified capital investment opportunities that create superior value, and our intention of maintaining a strong balance sheet. In this context, we've defined pre-growth cash flow as operating cash flow plus our sustaining capital, tax and debt servicing commitments. The framework also has an intent, as I said, of returning surplus cash to shareholders outside of ordinary dividends as the cycle permits. And as previously noted, today, the board has declared a fully franked interim dividend of $0.08 per share, in line with the new policy. Back to you, Andrew.
Andrew Cole: Thanks very much, Warrick. I'm now going to move to some forward-looking activity to provide context around the work that we'll be undertaking in the second half of this year. And I'm going to start with our operations, and firstly, Prominent Hill. In addition to maintaining our reliable operating performance, the Prominent Hill team has a project underway to increase individual stope production rates. They also have a mining study underway to identify potential pathways to higher value mine plans, focused on production rates above 4 million tonnes per annum. To support the desktop work, they are in the process of developing diamond drill platforms to support a drilling program that will likely occur starting in the first quarter of 2019. And this will aim to improve our overall confidence in the 80-or-so million tonnes of resource that is not yet in our mining inventory to inform the study. At Antas, our operating mine in Brazil, we're working on optimizing the current open pit resource and the mine plan. The team also has projects now underway to improve pit efficiencies, resource reconciliation and maximizing mill throughput. You'll see the results of this work in future scheduled quarterly reports. We are also prioritizing resource definition drilling and exploration drilling around the Antas mine and, as such, have increased our overall company exploration guidance to support this, but I'll touch on this towards the end of this deck. Now to upcoming projects underway. At Carrapateena, we have a new team in place to look at a few expansion options for Carrapateena in the province. This includes a review of the overall Carrapateena resource model along with using different mining options such as sublevel caving, block caving and a combination of both. To support this, the team will continue drilling Khamsin, Fremantle Doctor, the Saddle and the Punt Hill targets through the second half of this year using 3 drill rigs full-time. This will include following up the recent higher-grade drilling dissection at Khamsin, and the result of all this work will then form the establishment of a Carrapateena expansion scoping study for 2019. As mentioned in our Q2 report, I'm pleased to be able to share our approach to each of the core Brazilian assets. Integration of the former Avanco into OZ Minerals is going very well, and we've had Australian-based staff in Brazil and Brazilian-based staff in Australia already, learning from one another and working up our new approach to the asset portfolio in Brazil. This work will, obviously, continue, but I think it's important we give you an indication of what we're working on holistically and also on each core asset. There will obviously be further reviews, drilling and detailed costing required to finalize scopes and metrics of each project. The development pathways of each are reasonably clear though, so I'm taking this opportunity today to share some of the work in the second half of this year. We have included, as a reference point only, the metrics from past Avanco published studies on the left-hand side of these slides in green. We are not necessarily condoning these metrics but are restating them for your easy reference. So let me start in the CarajÃ¡s, IOCG copper terrain -- copper-gold terrain in Pedra Branca. So Pedra Branca is a very good high-grade asset that is close to construction-ready. We are, however, working on rescoping the feasibility study that will likely see the annual throughput rate increase above 1.2 million tonnes per annum and could approach 1.6 million tonnes per annum, which is circa 30% higher than the previously published numbers. This FS will run through early 2019, and we expect a decision to construct in the first half of next year. In the interim, while we complete the feasibility study, we are prepared to commence some early works to enable a rapid startup, which are already included in the new Brazil projects and resource drilling guidance included in the back of this deck. As you probably know, the box-cut at Pedra Branca has already been built, and Pedra Branca also has some existing surface infrastructure in place, so we have a very good platform to work from. We had added a new guidance line, as I mentioned, in our table at the back of this deck that covers Brazil projects and resource drilling. This includes the Pedra Branca 2018 spend. At Pantera, located some 100-or-so kilometers west of Pedra Branca, we are going to accelerate the resource drilling through the rest of this year and expect to drill some 5,000 meters to further refine this resource. Once this is done, we will complete a conceptual open pit mine design to test the economics of that resource. In parallel, we will start early environmental baseline studies. Again, the cost of this drilling is included in the new Brazil projects and resource drilling guidance. Before I leave the CarajÃ¡s, we have an exploration program mapped out that will see high priority targets around Antas and a few others throughout the CarajÃ¡s drilled this year. The cost of these programs is included in the updated exploration guidance at the back of the deck. Let me move now to the Gurupi gold province. Several thousand meters of drilling is planned for the second half on the CentroGold resource itself to increase our confidence in the resource definition. Whilst this is underway, we will be rescoping the prefeasibility study previously published by Avanco to optimize the annual throughput rate with full value without constraint. We expect to complete this optimized prefeasibility study in the first quarter of 2019. Again, the cost of this program is included in the Brazil projects and resource drilling guidance at the back. We will also be undertaking some exploration work around the CentroGold project on higher priority drill targets. The cost of those programs is included in the revised exploration guidance. We'll provide updates on the various projects in Brazil iteratively in our normal reporting cycle or as material milestones are achieved. Over the past 6 weeks, we have reconfirmed our views on the value contained in the former Avanco Brazil assets, and we're quite excited about the work we have planned for the next several months. In terms of our upcoming activity at West Musgrave, we expect to see a continuation of the resource infill drilling program, which is, of course, well underway now. We will continue to see exploration drill result at One Tree Hill, Succoth and Yappsu, where massive sulfides were intersected and reported by our partner, Cassini Resources. We're going to continue our environmental baseline studies, and we will commence the plant and infrastructure design and engineering work. So when you look at all of these projects collectively, and our organic pipeline is strong, we started the year with assets and projects in Australia, Portugal and Mexico. And over the last 6 months, these geographies have been complemented to include highly prospective areas in Brazil and Sweden, including a small operating mine. We've seen recent encouraging results from exploration in the West Musgrave, as published by Cassini; in Eloise as published by Minotaur; and in the Carrapateena province and from many of the copper and gold targets in Brazil. I think our pipeline is looking very healthy with many projects showing good upside potential. So let me just quickly summarize the key points from my presentation today. We delivered strong first half financial performance with a 66% increase in underlying NPAT, up to $134 million; a 33% increase in underlying EBITDA to $290 million, reflecting our continued focus on operating efficiencies. We reported a fully franked interim dividend of $0.08 per share, reflecting our ongoing strong financial performance and our commitment to our shareholders. We have a capital management plan that recognize the importance of shareholder returns, while we also allocate capital to growth, and we retain a strong cash balance, currently at $493 million, after making significant investments, paying tax and maintaining 0 debt. We have refined our corporate strategy, which is still anchored on delivering value: value for our stakeholders; value for our shareholders. We have delivered to our strategy with now a new operating mine in -- at Antas supporting Prominent Hill production. Our Carrapateena construction remains on track for first concentrate at the end of 2019. The PFS for West Musgrave is progressing well, and we've now completed the Avanco transaction and are integrating the Brazilian assets into our portfolio. Let me just touch -- before I wrap up, I'd like to now quickly summarize the guidance table in the appendices and draw your attention to just a few items here. So as mentioned, the Carrapateena 2018 capital spend guidance will reduce as a result of the value optimization work we've undertaken. We have added new guidance around our Brazil assets, namely copper, for the second half production for Antas mine. We've added a new Brazil projects and resource drilling guidance item covering Pedra Branca, Pantera and CentroGold studies and resource drilling work. And we've increased our OZ Minerals exploration guidance up to $20 million to $25 million to include Brazil exploration on a number of projects to complement the other exploration work underway in our portfolio. So that brings me to the conclusion of our presentation today. So with that, let's move to questions, which Warrick and I can both walk through. So operator, if you could please remind people on how to ask questions.
Operator: [Operator Instructions] The first question today comes from Michael Slifirski of CrÃ©dit Suisse.
Michael Slifirski: I think I've got 3 or 4. First of all, the acquisition, the write-up in property, plant and equipment from $122 million to $493 million, how should we allocate that in terms of Antas depreciation? Will there be a step up there? Or where is that allocated, please?
Warrick Ranson: Michael, it's Warrick. So I mean, what we've done at the start is -- in terms of the business combination, is basically grouped that together. And we have an opportunity now to go through and actually -- over the course of the next 12 months and actually allocate that to specific asset areas. So we haven't done that as yet. And I think as the starting point, because it's a nominal allocation, it should just remain consistent with the previous Avanco depreciation levels.
Michael Slifirski: Okay. I'll do that. Secondly, with respect to your capital management strategy, I guess, I'm interested in 2 words. First of all, what near term means, given that a lot of the project activity seems to be, perhaps, medium term in terms of where capital might be required but is still somewhat visible. And also what superior value means. Can you put that in terms of, perhaps, a return or something, just so we can have a better idea of how we should forecast dividends?
Warrick Ranson: In terms of near term, I mean, what we don't want to do is sit on cash on our balance sheet going forward. So as I said, we've committed our current cash reserves to both Prominent Hill and Carrapateena. So for us, we sort of take that sort of 2-year type window and think about where we're sitting and what our expenditure profile looks like against that. So that sort of references the first question. In terms of superior returns, I mean, that's really subjective in terms of the various projects, et cetera, at the time. So I can't really, sort of, place a specific number on that.
Andrew Cole: Let me add something to that comment by Warrick. With the superior, there's 2 other important words in there. One is identified. So identified means projects that we have identified in our organic pipeline. So if -- we know of a number of projects in our pipeline today, Michael, which many of -- most of which I've talked about today. So that's what identified means. And superior, in a way, is about if we can identify superior value above returning cash to shareholders, then that makes sense for shareholders. If we can't -- if we don't -- if we can't generate a superior return by investing in the business, then we will return that cash to shareholders. So it's a relative term to returning cash to shareholders.
Michael Slifirski: Okay, makes sense. I'm still a little bit confused about how we should then project your capital requirements, near term being a 2-year view. Because within 2 years, there's potentially quite a lot of capital required. So do you risk weight those projects? Or do you somehow stream them in terms of priorities to allocate them over a longer term? I'm not quite sure how we should link that to your capacity to pay dividends.
Andrew Cole: Yes, well, I mean, it's a good question, Michael. And I think it is a very fair question. It's also a very difficult question to answer because the projects we've got in our pipeline right now are in various stages of maturity. So we don't know, for example, what the final return for West Musgrave is going to be. And until such time as we know what the final return for West Musgrave is going to be, it's very difficult to say whether we should invest money in West Musgrave or we should return that money back to shareholders. But that's the decision process that we need to go through on each and every project. So I can't tell you what dividends are going to be in 2 years' time in the absence of a financial or an economic valuation of the investment alternative, if that makes sense. So it is about a relative sense. The end objective here is to create the maximum value for shareholders. So the first priority, this money will go back to shareholders unless we can create superior value through an internal investment or potentially an external investment. But that's the relative assessment that needs to be made. So I can't tell you yet what the dividends are going to be in 2 years' time.
Michael Slifirski: Okay. And then finally, with respect to the gold NRV, how often do you revisit that? And given that you've got a projection, for what it is, is in the current half, I've forgotten what gold price assumption you used for that please.
Warrick Ranson: Yes, so we revisit the gold NRV every 6 months in terms of unwinding the discount. Normally, we wouldn't see necessarily as strong an adjustment, but we did review our forward gold pricing assumptions in this first half, so that contributed to about half of the increase. So going forward, we probably expect that to come back a bit and really, I suppose our next point for review of that will be at the end of the year.
Michael Slifirski: Okay, do you disclose what that gold price is? I can't recall it.
Warrick Ranson: No, we don't.
Michael Slifirski: All right. So can you say how that sits compared to where gold is currently?
Warrick Ranson: It's above where gold is currently.
Operator: The next question comes from Sophie Spartalis of Merrill Lynch.
Sophie Spartalis: Just following on from Michael's questions on the dividend. So are you then -- is it safe to assume that we should just keep dividends flat for the next 2 years? I guess we're all looking for a little bit of guidance as to how to model dividends going forward, given previously we did have that 20% payout ratio to go by.
Andrew Cole: Sophie, firstly, I'm hesitating because I'm not sure how to answer that question. I understand that you need a number or to flow this out. It's very difficult to give you that number. Look, we do like consistency in returns. We don't want to be up and down all over the place in our returns to shareholders because I do understand that shareholders like some predictability, if you like, so I can give you that guidance. But I can't tell you exactly what the numbers are going to be other than to say we like some consistency and we've got a policy that allows the board to prioritize return to shareholders. So perhaps you can use that as your guide.
Sophie Spartalis: Could I ask in maybe a different way, saying are you comfortable with where consensus is at, which is around $0.20 for the 2018 year?
Andrew Cole: Good on you, Sophie.
Sophie Spartalis: We're going to pull it out of you in some way.
Andrew Cole: Yes, sure. I'm comfortable with that.
Warrick Ranson: Preempt the board decision.
Andrew Cole: Yes.
Sophie Spartalis: Okay. Then just moving on, in terms of the Carra CapEx, that reduction, is it safe to assume that, that deferral all goes into 2019?
Andrew Cole: So the tailings dam goes into 2019. For the Western Access Road, that goes into 2020. Now we've pushed the Western Access Road out to 2020, but we're upgrading the Southern Access Road currently. So one of the drivers to pushing Western Access Road out to 2020 is with the Carrapateena expansion studies underway, that may result in a slightly different design to the Western Access Road. So that's one of the drivers behind pushing it out.
Sophie Spartalis: And quasi-quantum for the Western Access Road then?
Andrew Cole: No. We haven't actually broken the quantum out for this. I'm trying to think back in the FSU. There is a number in the FSU, but I think it's lumped up at a level with a few different things. So you can go back to FSU and see that number, Sophie.
Sophie Spartalis: Okay. And just a final question for me, just in regard to the Brazilian assets, just the currency split versus local currency, U.S. dollar currency. I notice that you've put everything into U.S. dollars. But could you maybe just give a percentage real split on your cost base over there? And then also what real assumption you're assuming in terms of the guidance that you've provided?
Warrick Ranson: It's Warrick, Sophie. So local operating costs in real is around about sort of 70% of the base. And in terms of real assumptions, effectively, the current consensus -- equivalent to the current consensus level.
Operator: The next question comes from Matthew Frydman of Goldman Sachs.
Matthew Frydman: I've got a few. So firstly, just on the Carrapateena expansion options, and I suppose following on from the comments around the Western Access Road. Is your thinking there about potentially incorporating Khamsin given the joint success you've had there? Or is it more a matter of building that road to a high-spec to potentially incorporate increased loads or increased traffic given the sublevel caving and the block caving options you've given on Slide 18?
Andrew Cole: So maybe just talk about -- Matthew, let me just talk about the expansion scope before I answer the question on the road. So the expansion study scope covers everything in Carrapateena resource itself and the mineralized envelope which is not in the resource currently. It includes Khamsin, it includes Fremantle Doctor, Saddle, Punt Hill and some of the yet to be drilled and/or scheduled to be drilled targets within the Carrapateena exploration leases themselves. So this is a truly province approach. So the team have got multiple work streams underway. One work stream is about just looking at Carrapateena. So it's looking at what sort of cutoff grades could you use for a larger sublevel cave, what sort of cutoff grades could you use for a block cave or panel cave or combinations of them. So that's one stream of work. Another stream of work is drilling out Khamsin, Fremantle Doctor to better understand the controls, the grade/tonne curves for each of them, for example, to understand where those resources should come in a sequence of an expansion development. So if they've got low grades, obviously, that they will be later in the sequence. But if we find nice high-grade mineralization, there might be an opportunity to pull Khamsin and/or Fremantle Doctor forward in the development sequence. It'll be all value driven. And then the third stream is there's an exploration program underway across the Punt Hill project, which we're in partnership with Red Metals on and the exploration drilling around the Carrapateena. So all of this work is being done in parallel with the view to towards the end of this year, we will then define what the scope for expansion study is. And that will take into account all of that information. Now I can't tell you what the results of that will be, but the scoping study will include things like mine design at Carrapateena, potential mine designs at Khamsin, Fremantle Doctor and maybe others and plant expansion cases. So I can't tell you yet whether this work will just end up in a longer mine life at Carrapateena or a change in annual throughput above 4.25 million tonnes per annum or a combination of both of them. And now I'll move to your second question. If it goes to a greater plant throughput, so if we end up producing, for example, more than 4.25 million tonnes per annum for Carrapateena, that results in more concentrate having to be removed from site than what we've currently planned in the current project. If we have to do that, then we will need to revisit the primary haulage methodology from Carrapateena. So that could influence, for example, the width of the road. It could influence, for example, whether we truck or rail from the province. And those things ideally would be taken into account before we finalize the design for the Western Access Road.
Matthew Frydman: Sure, I understand. So clearly, you've identified that there's some design considerations there that need to take place and that's part of the reasoning for pushing that construction into 2020.
Andrew Cole: Yes, that's right. But the other reason is the Southern Access Road is working fine, so we're going to put a little bit of money into the Southern Access Road to upgrade it. And now that the airstrip is operating, we've actually taken most people off the road and it's now really only being used for heavy equipment haulage.
Matthew Frydman: Sure. I suppose given some of those considerations around the expansion options, how are you now thinking about the -- for example, the stage construction of the TSF or, indeed, the Concentrate Treatment Plant or your Power Strategy? Are there anything in any of those that need to be revisited or revised given the -- given what you know currently about the expansion options in Carrapateena?
Andrew Cole: Look, it's probably important to say firstly that the current Carrapateena project construction is going ahead without any influence from the expansion study. So the Carrapateena construction project is going ahead and its objective is to build a 4.25 million tonne per annum operation and ramp it up to that level. So we're not -- the expansion study team is not influencing or changing anything within the project. So that's really important for us, obviously, to keep them focused on delivery. Now having said that, there are other things that we have already done to enable future expansion. So our Power Strategy, for example, already will allow for future expansions at Carrapateena. So power, once our Power Strategy is executed, will not be a constraint for future expansion studies. Another thing that we have done is the location and design of the tailings dam allows for multiple lifts well beyond what our current mining inventory coming out of Carrapateena is -- requires. So there is already a design element for the Carrapateena tailings dam that will allow future possible tonnes. Now that didn't cost us any money now. It's all about base design and location more than actually requiring capital to enable that. So there are some things that we have already done. We've obviously also built a processing or are building a processing plant that has got plenty of real estate around it to allow future extensions. And we've kept all of the underground infrastructure outside of the orebody to enable us to do expansion studies. So there's already been a number of things that have done, Matthew, to allow expansions. But one of the scopes of work for the expansion study team, obviously, is to look at what support infrastructure they need that's not going to be in place, and that will have to be costed into the expansion scope.
Matthew Frydman: That's great. Just moving onto Antas I suppose now, can you give us maybe just a little bit more detail on your experience so far of the integration of that asset and its workforce into the Oz Group?  And perhaps a little more detail on the scope and the timing of the optimization work you're doing there. I noted for the other banker assets, obviously, you've given some time frames.  But I suppose with Antas, I mean is it possible that we could see a 30% increase in throughput over time, as you've indicated at Pedra Branca? Or is it more a matter of more incremental improvements, as you reassess that resource there?
Andrew Cole: Yes, look, I understand the question, Matthew.  Look, we purposely haven't given you a time frame on the projects underway at Antas because some of them are still being scoped up. But they have already made changes at Antas with -- in collaboration with people that we've got in our business and external experts. So there is spare plant capacity at Antas already, so most of the focus is on mining. So we've had our geotechnical engineer in at Antas, helping advise on drilling and blasting and wall controls, et cetera. We've had -- we've got a resource geologist over there who's working with some other parties on rebuilding the resource model to correct some of the fairly large reconciliation issues that Antas has had over the past couple of years. So I'm not going to give you a number yet, Matthew. It's too -- it's premature for me to do that. But I am expecting this year, a new resource model for Antas with updated mine plans and schedules. And that will be complemented by the results from some drilling programs we are going to undertake this year on a couple of neighboring resources. And all of that will then flow into a new life of mine, if you like, for Antas. So I can't give you a date yet, but I'll certainly give you an update at the next quarterly which will be in October.
Matthew Frydman: Sure. No, that's very helpful. And then maybe just finally, I suppose rounding back to the capital management strategy and the capital returns question. Maybe to help us understand a little bit better, can you give us an idea, you've indicated that your intention is to create superior value. Perhaps if we have an understanding of I suppose your project hurdle rates across the business, and is that hurdle rate different in Australia versus your opportunities in Brazil? And I suppose how that translates to the decision to either return capital to shareholders or to reinvest it in the business?
Andrew Cole: Yes, understand the question. Look, we don't have a single hurdle rate for projects. Every project needs to be assessed on its own merits. So we certainly have a process for understanding the economic viability and the risk profile of each project, but at the end of the day, we need to make a qualitative assessment on whether a project is viable or not. And it has to take into account many factors. An open pit mine is a lower risk profile and would probably take a lower hurdle rate than an underground mine just because of the risk profile of the mining process itself. We'd accept a lower hurdle rate in Australia than we would in Brazil. We'd accept a lower hurdle rate for a simple metallurgical resource than a complex metallurgical resource. So all of these projects will have to return well in excess of their cost of capital, of course, but there is no one hurdle rate that we can give you that defines a tolerable level. I'd also say that the hurdle rate for a mine expansion, under the head frame of a mine would probably require a lower hurdle rate than a new development, for example. So I know that doesn't answer your question but I actually don't think there is a legitimate theoretically correct answer to your question either.
Matthew Frydman: No, sure. But that does help us, I suppose, think about the priorities that sit within your substantial project pipeline at the moment. So I think that's more than enough questions from me, so I'm happy to hand it on.
Operator: The next question comes from Dylan Kelly of CLSA.
Dylan Kelly: A couple of questions from me just in relation to Antas. So look, it seems like you've covered off on quite a few of the points. I'm just trying to understand why you withheld or didn't mention the project to expand the mill which, according to AVB, was, what, a $20 million cost and would double throughput capacity there. Secondly, I just wanted to understand exactly what we can expect behind the updated resource model. I see there are quite a few different cutoff grades that were used for the existing resource. Do you have any expectations there or are you going to provide us with a full list of the grade and -- all the grades and different tonnage estimates or resource estimate sizes at lower grades, by -- in the next update?
Andrew Cole: Yes, Dylan. So firstly on the resource, yes, we will release a new updated resource statement for Antas once it's been built. Look, you may recall from -- if you covered Avanco, for example, Avanco had a number of reconciliation issues at Antas. So we obviously took all that into account when we did our due diligence earlier this year. But we also flagged as one of the priority actions for us was to rebuild the resource model from the drill hole database up, taking into account those reconciliation issues. So that's what the team's doing right now, is to really understand that resource. We need to understand that resource before we start contemplating plant expansions or anything else. So that would be a phase 2. There is another piece of work, though, that we will be working on with Avanco. And Avanco has done some really innovative work on ore concentration preprocess plant. And some of the results from those work is quite interesting. So we are going to reinvigorate that work because that has a direct bearing on what you do with the processing plant, of course. So I can't give you the answers that you're looking for now, but I can tell you we will be releasing a new resource statement for Antas once the work has been completed.
Dylan Kelly: Okay, fair enough. And just finally on CentroGold project. You've maintained it in the profile, it sounds like you're progressing it. But I'll just bring you back to earlier comments about your strategy about being copper focused. Why maintain it? Why do you still see this as something that needs to be done and why not divest of it?
Andrew Cole: A couple of things. So we are absolutely a copper-focused company. And I can't recall the absolute number, but the vast majority of our assets are copper. So we are -- our resource base is -- must be 80%, plus or minus, copper. And that's the way we're going to maintain our portfolio. And we've reconfirmed that with our strategy. But as you know, Dylan, Prominent Hill has copper gold, Carrapateena has copper gold, Antas has copper gold, they all have copper-gold in them, West Musgrave's got copper nickel in them. We wouldn't have gone out and purchased CentroGold on its own, but it came as part of a portfolio and it's a really exciting project. I think it's going to be very value accretive. So we're going to keep progressing the work on CentroGold based on the results that we've seen. I think there's a lot more value to be had in CentroGold than maybe what it's given credit for to date. So we are going to keep progressing it and it does fit within the portfolio, I think, that we've got in place because we are predominantly a copper resource company.
Dylan Kelly: Okay. Fair enough. And just one quick one finally. Can you just remind us of the remaining CapEx profile that's going to be coming out for 2019, 2020 now?
Andrew Cole: I wouldn't be reminding you because I haven't given it to you yet, but -- so -- but nice try. 2019, I'm going back to FSU here. So from 2019, for Carrapateena, you should have that number already. So we still plan to be on track for our capital spend, by and large, for Carrapateena. So you'll -- you know what we've spent to-date, you know what the guidance is for this year, so you've got the guidance for next year. I don't -- we haven't issued capital guidance for 2019 on anything else yet, Dylan, and the results -- we need the results from a number of the studies underway. So yes, sorry, I can't give you that yet.
Dylan Kelly: I thought I'd try anyway for the brownfields, okay.
Andrew Cole: I know you did. I know.
Operator: The next question comes from Peter O'Connor of Shaw and Partners.
Peter O'Connor: I have 3 questions. Firstly, just thinking more holistically and putting to you the term bandwidth, you are now taking the company from 1 asset to 1 asset plus a project plus a whole provincial suite of projects. What is the bandwidth of Oz? It seems like you're on top of everything, and very confidently so. Can you do more? Are you at your limit? What limits what Oz can do financially, people-wise, et cetera?
Andrew Cole: Peter, look, it's a good question. So I'm going to answer this in a few different ways, I guess. Firstly, this is not something that we've just stumbled across and started doing it today. We've been planning for this for 3 years. So as I've talked about before, the first 2 years of our new strategy was about preparing for growth and that's why we called our strategy earning the right to grow, because we weren't ready to. And you know all of the things we've done previously, so I'm not going to cover off on all of those. But our devolved model is one of the key ingredients behind being able to run multiple projects and operations on different fronts. So the bandwidth is probably as proportional to the rate at which you can create self-contained, very capable teams to deliver on the strategy that we've set for each of these projects. So Prominent Hill is doing that, it's been demonstrating that now for a couple of years. So Prominent Hill we don't touch, it just runs very well, and it's now self-generating its own future options. So it's -- for example, the study to take Prominent Hill above 4 million tonnes per year has come from the operating team at Prominent Hill in response to our strategy of being innovative and being holistic and looking at value. And they self-generate that. The Carrapateena team is self-contained. They run the project themselves. And they are delivering the project in response to our capital discipline along with our strategy. So -- and I don't reference these things lightly. They are explicitly linked to the plans and the strategies of each of these projects and the teams we create. We are bringing new people into the company. And probably one of the greatest challenges we have is bringing new people into the organization and getting them familiar with what's important to us and our strategy and the culture that we expect, and making sure we bring the right people into the business to actually help us lead these projects. So I'm quite comfortable today with all the things that I've mapped out through the course of the presentation that we can deliver to the schedule that we've set, because we've got the right people leading them and they've got very good teams in place leading them. So I'm not concerned about that. We also don't need to do anything inorganic. We've got a very good, strong organic pipeline. Having said that, we still have a self-contained team looking at inorganic opportunities. And if they find something that is very value accretive, like we did with Avanco, we would consider doing it, not because we have to, but because we can do it.
Peter O'Connor: And my second question, back to dividends. And just so I understand, it seems like the dividend is in 2 parts. There's the base, what you call the sustainable and there's an element of surplus cash. Just with regard to that, what I think of as base, the sustainable nature of that, is that in terms of percentage of that cash available? Or is it $0.01 per share sustainable?
Warrick Ranson: Yes. It's $0.01 per share. And as Andrew said, it's about consistency. So we don't want an up and down dividend policy or dividend outcome. And we'd rather see an elevation and then keep it at that level and maintain that until we're ready to review that again. So I think that's the way you'd need to look at it.
Peter O'Connor: So to be pedantic, it's not a progressive nature? It's not percentage payout ratio based; it's like a fixed $0.01 per share amount?
Warrick Ranson: No, no, no, definitely not.
Peter O'Connor: Okay. And with regards to that element on top of that, call it an additional surplus dividend, I mean you've talked about the superior nature and how it's qualitative. But is there an NPV free cash flow, free cash flow yield metric or something that wraps around that, that defines that superior? How do you wrap it back to shareholder returns? Is it an NPV per share?
Warrick Ranson: Yes, I mean, we sort of touched on this a little bit before in terms of how you define superior, and it is a case-by-case basis. And we don't have a specific metric point in terms of being able to describe that. It really is about the opportunity that exists. And if we believe that there's greater long-term value in utilizing our surplus cash position for the longer-term benefit of -- for the benefit of shareholders overall, then that's where we would look to invest it. But if we -- I think the key point here is that we don't want to be sitting on cash unless we've got a use for it. And to that extent, we will return it to shareholders.
Peter O'Connor: One last question on dividends or capital management in general. I just did a word search for buyback, and I didn't find it. Does that figure into the capital management strategy?  And if so, where?
Warrick Ranson: In terms of return of surplus cash, there are a variety of options, and we haven't defined them. So it's really, again, what's going to add the best value at the time based on a range of circumstances. So yes, buyback is an option but so is special dividend and other means.
Peter O'Connor: Okay, great. And lastly, Andrew, Carrapateena, could you remind me the footprint or the modularity of their facilities to date gives you the potential to what from here if you chose to, with the provincial studies?  The footprint you put in place, be it airport, accommodation, mill footprint, et cetera, what does that allow the scalability for in that area?
Andrew Cole: Sure. So power, I'm not going to say I'm limited that we won't reach the cap on power, so that's not a constraint. Processing plant, 4.25 million tonne plant, there is space there to put other trains alongside it, so we could double that, triple that, or we could incrementally increase for by putting some crushing upfront. So it's not a constraint. It will require capital to scale, but it's not a constraint. Water will be a constraint, so water will require either additional water exploration and/or a pipeline that connects the operation to a water, more permanent water supply. Run an airstrip is not a constraint. We can get many, many more people in and out of site if we need to. The camp is built in an area that we can either build up, so the units actually allows second floors on them, or we can build out. So in terms -- so generally, in terms of surface infrastructure, Peter, we have ensured that there are no physical constraints to allow expansion. They will require capital in some cases, but that'll be the limiting factor.
Peter O'Connor: And with regard to the underground, is it the decline in the haulage capacity, the decline which is the defining factor there?
Andrew Cole: Well, we've designed the underground to be a conveyor hauled material. And as you'll know, conveyors are very flexible in terms of their haulage rates. So we're using a conveying system or we will be using a conveying system with drive motors that cater to our 4.25 million, but with some minor modifications, you can actually increase that substantially. So I don't believe that will be a constraint. It will probably -- I'm guessing a little bit, but it'll probably come down to other things like ventilation and the like.
Operator: The next question comes from Lyndon Fagan from JP Morgan.
Lyndon Fagan: Look, my questions are on the Brazil assets. So with Pedra Branca, obviously, a decision to mine Q2 next year, conceptually, when you think that could be in production?
Andrew Cole: Lyndon, so look, if we pulled the trigger, I think they built Antas, as a comparable, in 12 months. There is a fairly heavy wet season, though, in Brazil, so you need to work around the wet season. So it would be -- what's that, the end of 2020, potentially finish construction.
Lyndon Fagan: Okay. And the $158 million preproduction CapEx, obviously, with a new scope, that number's going to change. But just wanted to get a gauge of how conservative that $158 million is? Or whether -- and how old it is, really? So over 1 year old.
Andrew Cole: I believe that came out of the PFS -- yes, I think that came out of the PFS, it was May, middle of last year, something like that. I can't tell you how conservative it is yet, Lyndon, in that one of the pieces of work that they're doing right now is rescoping the FS to a value optimized throughput rate as opposed to some other arbitrary constrained number which is why we're probably more than likely pushing it above the 1.2 million tonnes per annum number. That will, obviously, have flow-on impacts into capital. I wouldn't multiply the capital number, though, by being 30% because some of the capital is fixed and doesn't scale with throughput rate in that sort of degree. So you're more talking about drives and crushers and motors and things like that more than anything else.
Lyndon Fagan: Okay. And then, I guess, moving onto CentroGold, again, when could that conceptually be in production? I realize it's earlier along the path.
Andrew Cole: Look, yes, it is earlier along the path. So we're redoing the PFS at the moment, Lyndon, so it will depend on the answer that we get out of the PFS. So I'd probably hesitate to give you a date at this stage. But if we get through the PFS through early next year, and FS is probably going to take a year or so, so -- and a facility like that, so it's an open pit mine which makes it simpler, you're probably looking at a 12- or 18-month build for a CentroGold-type project.
Lyndon Fagan: Great. And then the scoping studies talked about permitting issues. Just wondering if you could update on where that's at?
Andrew Cole: I'm sorry, so which project are you on, Lyndon?
Lyndon Fagan: So CentroGold talked about granted environmental and construction licenses subsequently being suspended by a court injunction. Just wondering where that's all at?
Andrew Cole: Yes, look, that's a long-lived issue that predates Avanco on this project. So Avanco has been working through it and now our Brazil team's working through this. Yes, in fact, probably the biggest challenge with CentroGold are the social aspects here. There are garimpeiros and squatters living in some parts of the project. So that, by and large, is the biggest challenge with the CentroGold project. I suspect it's not going to be technical or capital challenge, it will be social. So they're working through the processes they need to work through to have the injunction removed. And obviously, we're confident that it will get removed, otherwise we wouldn't have valued it in our due diligence and we wouldn't be drilling it out. So I think it's a matter of process. What will be key to this is the way they go about their work in the CentroGold area and I'm seeing firsthand that the team's relationship with the community, municipality and the garimpeiros is very good. So I think it's just a matter of time and process to get that removed.
Lyndon Fagan: Okay. And I guess you talked about, sort of, optimizing Pedra Branca as a bigger project. Is there any early evidence that you could make CentroGold materially bigger?
Andrew Cole: I haven't given you a number yet, Lyndon, because I hesitate to do that. Yes, we've got some early conceptual ideas. But the scoping study they did at CentroGold, I think the 2 constraints they put in place is capital and mine life. So they said, I think, it had to be 10 years and $100 million to build or something thereabouts. So we got rid of that, obviously, and said what is the value-maximizing strategy for this resource, and that's what they're doing at the moment. So I can't tell you whether it will be bigger or smaller, but my expectation is that value goes up.
Lyndon Fagan: Okay. And then the final question I've got is just on the CTP. I see you're spending 12 -- or up to $12 million this year, which seems like quite a bit, actually. So I'm just wondering what that is on and how long that type of spend continues on an annual basis?
Andrew Cole: So as we flagged, I think, when we set the guidance, Lyndon, it was -- that money is to complete the feasibility study to construct the 200,000 tonne per annum CTP facility in the Upper Spencer Gulf. So we're still working through that. It includes all the design, detail engineering, pilot plants, et cetera. So we're getting close to the end of that feasibility study.
Operator: The next question comes from Daniel Morgan of UBS.
Daniel Morgan: Just a quick question on the treatment charges. They were a little bit lower than what I had expected. Is there -- can you maybe talk about the treatment charges and how you negotiate those and what we should be thinking going forward?
Warrick Ranson: I mean, as we normally say, obviously, the benchmark TC/RCs came down in comparison to where they were 12 months ago. And then for us, it really does depend a little bit in terms of our customer mix and what we are able to negotiate from that base. We don't disclose that, obviously, and it's really just a variation that has a few swings and roundabouts between the years. But yes, I'm not sure I can add much more to that then.
Daniel Morgan: So it's best to think about it just via publicly disclosed benchmark negotiations we see and be guided by that? Is that what to do? Or do you guys do spot as well?
Warrick Ranson: No. Most of our sales are contracted, so not a lot on spot. But we do end up with some variations, depending on customers. But yes, I would just take the benchmark projections.
Operator: The final question comes from Paul Hissey of RBC.
Paul Hissey: Just 2 questions for me to wrap up. Firstly, you guys, you use quotational period hedging. So are you covered in this period now given some of the falls we've seen in copper price recently?
Warrick Ranson: In terms of the presold material, the material that's already sold, yes, we are.
Paul Hissey: Yes, yes.  No, that's fine. And then secondly just, I guess, a bigger picture question. Obviously, the copper prices and gold prices have fallen a fair bit. I'm just wondering, there's been a lot of chat on the call about dividend, and obviously, there's some changes to the rate of spend in capital going forward. If we put spot prices in our model for the next 12 months, 24 months, obviously, the cash -- you continue to chew through the cash. I'm just wondering, bigger picture, how you think about a minimum cash buffer, if we might see some debt added into the funding mix at some point? And I guess, by -- I won't ask you about the dividend again, but I guess by extension, there's probably some flow on effects there to how you distribute capital as well. So just how do you think about, I guess, insulation from sustained lower copper price periods given your existing assets are obviously funding a lot of the development activities that are going on?
Andrew Cole: Sure. Let me answer and then Warrick can build on that if he wants to. So look, when -- copper price has been pretty volatile, but when we started out the beginning of this year and all the assumptions we made in our planning process, that copper price was quite a bit lower than where the price spiked to earlier this year. So it's sort of gone up and then come back down a fair bit. And I have to admit, I'm a little bit lost as to why there's so much volatility in the market, because none of the fundamentals have changed. I don't really see any of the fundamentals have changed. Beginning of this year, we didn't assume that there would be a strike at Escondida, for example. So I don't -- I can't put any factual or logical basis behind why we're seeing the volatility we are in the market, apart from lots of rumors and speculation and newspaper articles and things, but nothing's actually changed. There's no new mines coming on that we know about today, as opposed to what weren't there a year ago. The demand hasn't changed, so I'm not -- I don't have any concern at all about the fundamentals of the copper market. And we'll see swings and roundabouts. The other defense we have, obviously, is that we keep our operating costs low, so we're only investing in bottom half cost curve assets. So when you've got really good margins like we certainly do at Prominent Hill, that is a natural insulation to volatility in the market and generates very good cash returns. So I'm not particularly worried about it, to be honest, Paul. I'm sure we'll see swings and roundabout in the prices over the coming days, as newspaper articles change.
Paul Hissey: Yes, it's more -- look, I tend to agree with you, I'm not sure why the price is so volatile either. But the question was more about, I guess, a buffer. I mean, would you be happy delivering Carrapateena with the last $5 million in the bank if we do see copper prices continue to drift lower? I appreciate the position you're in with your existing margins, but you are -- I guess you're in a net cash outflow position at the moment because of the CapEx. I'm just wondering how much money do you want to keep in the bank as a minimum in order to make sure you can deliver on all these projects over the next 12 or 24 months?
Andrew Cole: Look, do you want to talk -- do you want to talk about it? I mean, we do keep a working capital and we are putting in facilities to give us a buffer.
Warrick Ranson: Yes, I mean, as Andrew said, I mean, from a working capital point of view, that's 1 aspect, but we're certainly comfortable in going into a level of debt in terms of our funding arrangements. And what's important to us is that we maintain sufficient headroom in our credit facilities going forward. And so we are looking at upsizing our current facility just for those sort of things. But I mean what's important, Paul, is that when we've thought about our capital management framework, we have actually stress tested it against some of these aspects. We haven't assumed that life's going to be sweet all the time. So we're quite comfortable with both our projections and I suppose again, when the board considers maintaining a consistent level of dividend, that's part of its consideration in terms of what's coming and where we might end up. So both with our credit facilities, the existing cash that we have, we have opportunities around our Prominent Hill stockpile, we're quite comfortable in where we're sitting.
Paul Hissey: Okay, great. And just lastly, remind me of the quantum of your current facilities, please?
Warrick Ranson: We have a $100 million debt facility, which has sort of an accordion facility that allows it to flow out of it, and we will be revisiting that going forward.
Andrew Cole: Good on you. Thanks, Paul. Look, we're a little bit over our scheduled time here, so we're going to wrap up. Thank you very much for your time this morning. As usual, if you've got any questions you want to follow up, please give Tom a call and we'll organize to answer them for you. Thanks very much.